Holly Schoenfeldt: Good morning, everyone, and thank you for joining us today for our webcast announcing U.S. Global Investors' results for the quarter ended December 31, 2021. I'm Holly Schoenfeldt. .
 As seen on Slide #2, the presenters for today's program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Director of Marketing. 
 On to Slide 3. As always, we would love to offer anyone tuned in today one of our JETS, GOAU or HIVE packs, in addition, we do have JETS luggage tags available. All you need to do is send us an e-mail with your physical mailing address to info@usfunds.com. 
 On Slide #4. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today, and U.S. Global Investors accepts no obligation to update them in the future. 
 On Slide 5, I will briefly review our company. U.S. Global Investors is an innovative investment manager with vast experience in global markets and specialized sectors. It was originally founded as an investment club, becoming a registered investment adviser in 1968. The company has a long-standing history of global investing and launching first-of-their-kind investment products, including the first no-load gold fund. We are well known for expertise in gold and precious metals, natural resources, airlines, emerging markets and cryptocurrencies. 
 Now on Slide 6, I would like to hand the presentation over to Frank Holmes to review what we believe is one of the most helpful visuals when it comes to investing, not only in GROW, but in any asset class. Frank? 
Frank Holmes: Thank you, Holly. Yes, this is an important visual because every asset class has a unique DNA of volatility, and that DNA can change over time because of major events. And so that's one reason why we monitor and track both fiscal monetary government policies, and we look at other economic factors on a macro scale. We write about them every week. And that discipline helps us to be able to not only articulate ourselves but relate back to this DNA of volatility. But because we are in the gold business and the gold funds and of a history steeped in gold knowledge, we -- GROW often treated with the DNA of volatility of gold. 
 And here is what you can see is that S&P and Bullion both have a DNA of basically 1%, meaning about 70% of the time, it's a nonevent to go plus or minus 1%. Over 10 days, Gold Bullion is slightly more volatile than the S&P 500. Now the Dow Jones Asset Managers Index, its volatility is 3%. So it's 3x the S&P and the 10 days, plus or minus 19%. So what's really most interesting to me when I look at this global index is that our DNA volatility of GROW over 10 days is slightly less, but on a daily basis, as you can see, we do have a greater volatility. 
 So why is that? It used to be predominantly off of gold stocks. It was -- but however, that's changed. And what I'm trying to share with investors is that gold stocks and our largest asset class rate today is now airlines. And so the New York Stock Exchange, Arca Airlines goes up or down 2% on a daily basis over 10 days. It's a nonevent to go 6%. 
 Tesla known for innovation and technology leader is plus or minus 3%, 3x greater than the S&P. And in fact, it used to be much greater until it became part of the S&P. But as you can see, over a 10-day period, it is 5x greater volatility than the S&P 500. And Bitcoin is plus or minus 4% daily, 12% over 10 days. However, when you come to Ethereum, Ethereum is much more volatile than Bitcoin over 1 day or over 10 days. And this impacts one of our big investments, and that is in the HIVE Blockchain technology. 
 So I can walk you through, but there is a collateral that's both an opportunity and also it can be very frustrating for investors in anyone that invest in GROW have always said that you must understand that it's a nonevent for GROW to go up or down 5% on a daily basis and 15% over a 10-day period. And that's because we have gold asset classes, we have airlines asset classes, and we have an investment in a -- as you can see in the crypto mining space. 
 If you look at Bitcoins, as daily volatility is 4% like gold is 1%, but gold stocks are twice as volatile as Bullion, and therefore, crypto mining stock is twice as volatile as Bitcoin and Ethereum themselves, approximately. So investors just really appreciate and respect this that when you look at us, it's important on a daily basis that I'm going to walk you through in a chart to show you that our volatility does get impacted by the airlines, it does get impacted by gold and it does get impacted by crypto. 
 What's driving us, surging assets, in particular, the ETF business. And then in particular, the line of share really now is the just ETF. Gold is an inflation hedge. It's interesting that last year, gold was, in fact, up on an average price realized by gold miners selling their gold. It was up over $50 an ounce. However, for beginning day and the last day, it was off 5%. So most of the beat you talked about the gold's was down for the year, it was about investment. But in fact, its average price has done spectacular well, not only for last year, but for the past 21 years, Gold Bullion has been a stellar performer. And I'm a big believer that, that is one thing that's helped Ray Dalio in his funds because he always has this exposure to gold in his parity trading. 
 We've seen the airlines go through a big surge in recovery, then we have the Delta come in and then we have Omicron. I'm going to walk you through how this impacts the volatility. And then we have HIVE Blockchain technology. 
 I want to thank our top institutional shareholders, in particular, Royce Funds and Perritt Capital and Heartland Funds and the other 2 Vanguard and BlackRock are predominantly, they're indexing. But when it comes to Perritt and Heartland, they understand those particular portfolio managers and also Royce, the world of gold as an asset class and also later some news innovation and how it changes the landscape in the capital markets. So thank you for being substantial and long-term shareholders. Those 5 names own close to 20%. Myself, I own approximately 17% of the company. 
 GROW's dividends, last year, we increased them by 200% in 2021. The company has paid a monthly dividend since 2007. The current yield at a share price of $559, looks like a 1.6% yield, which is better than a 5-year government bond, slightly less than now a 10-year government bond, but we've been paying these monthly dividends of $0.0075. It's approved through March 2022. It's reviewed by the Board quarterly. 
 And as you can see in our presentation, I feel Lisa will articulate the cash flow numbers, we feel very healthy in a good cash position as we continue to replace our cash because we did live through a crypto winter and a long bear cycle in gold and the airlines industry. And so recently, we've had this incredible surge in those particular assets. 
 Now the share repurchase program has lots of regulatory rules around it. And I think it's important to recognize that we've had this for a very long period of time, and we have to go through a renewal process, but there's implementation issues that have to do with regulatory and -- so I want to turn it over to Lisa to give you a little more color on our stock repurchase program. 
Lisa Callicotte: Thank you, Frank. Yes, I would like to briefly discuss our stock buyback process. We have had some shareholder inquiries about that. And I thought that this would be helpful. 
 Like Frank said, there are several rules and regulations for public companies related to purchasing and selling its own stock. And we have policies in place to help assist us in complying with those regulations. And one of these is our trading window policy. Companies are not permitted to purchase and sell stock if they have material nonpublic information. And at certain times during the year, a company may be considered to be having material nonpublic information, especially maybe around the quarter ends where the company has the information of the financials, but those haven't been disclosed to the public. 
 Therefore, trading window policies typically close maybe 1 to 2 weeks, 3 weeks before quarter end and then last until 1 to a few days after the filing has been filed. Our policy is like this. And during our closed windows, we typically do not make decisions about buying and selling stock. We also have a safe harbor plan that we set up during an open trading window that then would allow us to trade during the closed window because we're not making any new decisions during that time. 
 Typically, our trading window closes a couple of weeks before our quarter end and then opens a couple of days after we file our 10-Q and our 10-K. But I also want to remind people that at sometimes we might not have an open window. For example, our 10-K is due 90 days after our year-end, which is typically around September 28th. And that is within a couple of weeks of the quarter end of September. So if we had -- if we file on that date, we would not have an open window because that would have already been closed for the next quarter. And we noted that lately with our delays with our filings. We haven't had an open window since mid-June of last year, and it won't open until next week. So this does affect us making decisions on repurchases. 
 I hope that was helpful and answered some of the questions that our shareholders have. 
Frank Holmes: So as you can see here, we have $4.1 billion average assets, up 40% year-over-year; $6.6 million in quarterly operating revenue plus 39% year-over-year; and $3.69 million quarterly net income, up 50% quarter-over-quarter. I think it's important to recognize what's happening to get the composition from taking profits in HIVE and then rolling them over. That on average, how much money do we make from our operating business and most of our earnings over the time in our losses came from during the bear cycle that we experienced in the gold asset classes and also in the blockchain world, is that they cost us losses that were coming from operating. 
 Now I'd like to look at this visual to put things in context because we've had lots of shareholders inquiry. And I totally relate to them as a major shareholder in the frustration. As Lisa was trying to explain that you can't do stock buybacks unless you have an open window. You can't roll over things. And that period in this whole discussion that's taking place with BDO is quite delayed. So many delays in having open windows, and that has impacted us in our ability to buy back stock. 
 But I believe that next week, we should be what's called an open opportunity time. And I think that's important. But we have some shareholders that been around for a while, and I thank them very much. But I remember them complaining about GROW being undervalued with JETS growing in assets back in December of 2020. It was very evident during that year. It was an epic move in JETS ETF, both in trading volumes in asset collection and we were deeply undervalued. And we started all of a sudden seeing the crypto winter had thawed. And we started seeing this big price action in Bitcoin and Ethereum. And so we were undervalued. 
 And during that 2021 year, last year, we traded about 225,000 shares a day. But what's interesting is that in April of 2021, we traded 12 million shares for the month. That's almost our float. Average overall daily volume was 600,000 shares a day. So there was lots of time for people that wanted to get out or worried or the volatility. And we had this incredible move. And I believe that we were undervalued. But with the issue came from thereafter was not being able to get our financials out in time, always delays and disappointments coming with the auditors and in this sort of resolution of valuation of assets. 
 So I think that that's behind us now, and that's what's positive and constructive about it. And I hope this for those shareholders that, that move that took place last year to $12, that was predominant gold -- not gold, sorry. It was crypto. It was not gold. It was most interesting, and it wasn't JETS. It had to do with this huge move of Bitcoin, Ethereum dominating all the media and lots of sentiment and our investment in HIVE, all of a sudden, HIVE also exploded in stock price and trading volume during this period and then it started to cool off. But HIVE as an investment has continued to grow its revenue and balance sheet but the stock has basically been sideways when you take a look at relative to the spectacular growth in revenue and earnings it's been able to achieve. 
 Now this is another thing that's really important. As you can see that during that crypto winter and during JETS and gold being sort of quiet assets, I like to call them, our cash positions were always low. And we had many losing quarters during that time period. And we chewed through a lot of cash weathering through that season. It's almost like the biblical story of Joseph and the Pharaoh. When the Pharaoh had bad dreams, Joseph said, that man is the same during your good dreams. So you have 7 years of feast that make sure you save for the 7 years of famine. 
 And that's something we've always done as a strategy to make sure that we have lots of cash to be able to launch a product and whether any type of these crypto winters or gold winters as they like to call them or a stock market winter. And so I'm very, very thrilled and that's one big reason last year that we crystallized the selling of HIVE shares and last minute, we end up rolling into this debenture. And as HIVE had many different options to look at, and I think it was explained in the last press release. 
 But what's interesting here in this visual for you is that the cash went down and then the cash basically in investments in the balance sheet have increased nicely. And today, that investment in HIVE has been earning us a yield and an income, and it's highly unexpected that we had hoped for more volatility, but the whole process of valuations has created greater volatility in getting our peers, our financials so. But underneath this, the company is doing exceptionally well. And both companies, U.S. Global Investors' operating investments, in particular, operating earnings from running the business is doing exceptionally well. And it's investment in HIVE is also doing well. 
 And I want to also take a look at this another visual that you can see that our assets -- and remember, we make our money by charging on average 60 basis points. So the average had a big surge until June of 2021, and then it came off over Omicron fears. And there was the end of the Delta fears and then we come into the Omicron fear. So every time there's a wave of negative sentiment, and then we started seeing lockdowns take place by governments, it impacts the JETS' assets. They did go from $12 range in 2020 -- in the second quarter of 2020 and ran up to about $28, then fell back to under $20 and now are popping back up. 
 But what's really remarkable is the trading volume in the month of December of 2021 was over 300 million shares, as we discussed in our press release. So it does impact our operating revenue, as you can see here. It's a simple mathematical model that's easy to calculate. If you have $1 billion in assets and you charge 60 basis points, you're going to do $6 million in revenue a year. You can do this. There's many smart fund managers, I know that take your total assets off of Bloomberg and calculate what the revenue could be, and it seems to have enough people that are doing that. So the Omicron fears impacted JETS. JETS' assets were down, and that's what impacted our operating revenue. 
 This is an important visual to understand the stability of ours. And as you can see, operating income for the 6 months is basically 78%. We did realize some gains from investments, and I think this will probably notch up to a higher level based on what I see today on operating income and our investments to crystallize. What's important is that as asset managers that most of our profits are coming from day-in, day-out operations. So this is the case study like the DNA of volatility. I always like to share with the shareholders, especially those that are not analysts who are out there that own GROW shares. 
 But what you can see here is that if we have $100 million in assets and our average expense ratio for that is 60 basis points, that means the advisor's revenue is $600,000. And if it goes to $4 billion, that 60 basis points, it's $24 million. And when you have $100 million, you're not making any money, really, it takes more than $100 million to make money if you're spending any marketing dollars. And what's interesting and what I've seen on this is it takes about $4 million to $5 million and 4 to 5 years for a product to really take off. 
 You have to be committed and have the cash and spending power. You want to get it up to $40 million of 60 basis points because it's going to cover your legal and your accounting costs. It's not going to cover your compliance -- internal compliance and marketing and educational costs. And that's the additional part. So you have to spend a lot of money like a rocket taking off to space. It has huge, huge fuel tanks to get away from the pull of gravity and the same thing here to create the branding. 
 And that's what we saw with JETS. It was basically the fifth year after quarter-after-quarter, talking to RIAs, making presentations, the weekly blog and other information that it became very aware to investors everywhere as the only go-to product that really captured as a smart beta this industry. And this industry is a theme and also a smart beta approach and along came COVID, and the math suggested to a lot of people that a year later, these stocks would double after falling so much during the fears of COVID and a lot of those millennials, I've mentioned before, were accurate. 
 So today, it's just important you can calculate what the assets are simple sheet and add them up what our revenue is going to be. And so this is the simple methodology to appreciate. 
 So here's a summary of the cash flow. I'm going to turn it back to Lisa for this slide. Just a comment about the sort of cash flow summary and net cash provided by used in operating activities. 
Lisa Callicotte: Yes, and this is -- Tenneco's a little bit in mirrors, the other slide that we had talking about our cash and how that was growing. But as you can see, as we have operating revenues, our actual cash provided by operating activities has been growing. There is some timing on this kind of related to what's being payout and things like that. But besides that, you can really see that having that operating revenue is helping our cash flow. 
Frank Holmes: Thank you, Lisa. So we are undervalued on many different types of factors and analysis and I showed you that Dow Jones Global Asset Management Index, we're looking at the DNA of volatility. And so when you look at that visual, when you compare us to the average P/E ratio, the EBITDA ratio, the cash flow, whatever the factors that Bloomberg likes to publish and they give you this visual to look at, you can see that we are a great GARP stock. We are a great play on gold. We are a great play on the blockchain crypto phenomena, and we also have an incredible brand awareness on JETS ETF. And I'm going to comment on what we've been doing to enhance that brand in a few seconds. 
 But this is a comparison. And a lot of people don't realize Invesco that 40% of Invesco's assets are the QQQ, which is a phenomenal size asset capturing basic NASDAQ. And as you can see, the Invesco trades at 1.54x price to sales, we trade slightly higher but we are less than WisdomTree, which is 100% ETFs. And if you take a look at return on assets, we're a lean company, and our return on assets, as you can see, are 30% versus 4.7% and 5.2%. 
 So for those shareholders is that we're trying to be as frugal as possible, pay bonuses based on performance and realized gains, realized real performance beating the index as fund managers whenever they beat the index that the fund has to go up against, there's bonuses for that. Otherwise, we remain very lean, and it shows up, I think, is a return on our assets. 
 Return on our equity. This is another important factor. As you can see, we have done an outstanding job of return on our invested capital and it's much higher than Invesco and it's much higher than WisdomTree. 
 So that shows up in our P/E ratio that yes, we're deeply undervalued. One could argue so is Invesco and WisdomTree. WisdomTree is around the average. That's roughly where the average asset manager on a global basis trades at. So if we were to trade at 15x earnings, the average, then GROW would be substantially higher. And now that I think that we are much -- we've got our audit systems in place, we're able to make financial disclosures and get them all out faster, better and all that drama that took place is behind us, then I think we'll be able to tell our story with simplicity and clarity that we're an undervalued unique asset class as a boutique investment manager. 
 And another way if they can look at assets to market cap is another way when you compare to WisdomTree or Invesco to U.S. Global, we're deeply undervalued on assets to market cap. 
 So the outlook for GROW is staying power for the JETS ETF. We've expanded the global footprint. We're in Europe listed on the U.K., the London Stock Exchange. We've expanded into Peru, Mexico, and Chile is the next big one, and it's interesting to see. This allows you, I think, when you get lists to be able to go into their pensions and their other profits and the high-net-worth customers have assets in U.S. dollars, and so JETS is one of those ways to play. The secular -- the rebound in the global economy is the JETS ETF is a great way to play it. 
 And with the continuing vaccine rollouts and business travel expected to greatly improve by the fourth quarter of this year and ancillary fees to start to be rising for the airlines industry, borders are reopening, travel restrictions are easing like England has dropped all travel restrictions, I think that there's much more upside opportunity and for investors to realize that JETS was in the low 30s, fell out to the low teens, bounced up to 20s, and it's at the lower end of the 20s. So it has the capacity to appreciate 40% to 50% to get back up to where the stocks were before COVID. 
 So this has because many people have different opinions. It's sentiment-driven, it's financially driven. What I do share with you is that Warren Buffett was a big headwind. When I first launched JETS, I had to listen to everyone talking Warren Buffett didn't like the airlines, and I kept saying he's a GARP investor. He'll like them. Then he fell in love with them. Then he fell out of love with them during COVID, and that was basically the bottom when the airlines took off. So Warren Buffett has a very different rationale being 91 years old. His view, I think, is very different than millennials coming in that were very important in igniting the huge activity that took place in JETS ETF. 
 What we did see just recently is the M&A activity in the airline industry. The Frontier Spirit merger, the Frontier Group and Spirit Airlines, and they have plans to create the fifth largest U.S. airline and a $2.9 billion merger. The merger is expected to close in the second half of 2022 and its projected results is the synergies of $500 million a year. 
 What is really passing is that this is all happening where we had this negative backdrop of COVID still, and the new variants are supposed to be coming out, which we're going to have to expect. And so what you have to remember is that we did this slide that during COVID, there is this pent-up demand going into the end of 2020 to start going south to get out of the winter in the northern states and out of the Nordic countries, everyone wants to get south. 
 In Asia, they want to get to Thailand. They did not want to be in Japan for the cold winter. So you started to see the creation in a bear market cycle of negativity, the creation of new IPOs, new airlines like Breeze. And so you saw them in Europe. You saw them in India. You saw something with even all this doubt and Warren Buffett getting out of the industry was the formation of innovative capital looking at -- looking past this drought in air travel and lockdowns, looking over this sort of valley in saying the next mountain peak. 
 And here we are, still with some doubts regarding COVID, and we're going to get a big M&A work. So what you do -- you are seeing the leader in these big new IPOs and the leader in the M&A work is out of the U.S. So [indiscernible] is the stellar air cargo. You did see that the other airlines during COVID started transferring no passengers. If you recall, they went from 2.7 million people a day being cleared by TSA, down to April of 2020 to 90,000. Now it's back over and robust above $2 million. I think that you've seen that the cargo is an important part for some of the airlines just surviving. But the cargo airlines now they're unique that only carry cargo, they've had incredible pricing power. 
 And I know from moving technology equipment from Asia over to Europe and to Canada for HIVE in technology, we have seen an explosion in the cost of shipping anything. And it doesn't matter if it's DHL by air or it's by boat, the shipping rates exploded. And this is very similar to me launching JETS as I noticed this tremendous change happening in the airlines industry after they've just gone through many bankruptcies. And that's usually during the valley that the opportunity is to look for the next mountain peak. 
 And I think that we're going to see supply line constrictions and restrictions. We're going to see the ability for them to turn on a dime with all this pent-up demand is going to be very difficult. And based on the history and research we've done, we launched SEA, and SEA is basically airline cargo and ships. And there was an ETF previously called SEA and it was shut down with $100 million in assets just at the very bottom. And so there really is no other SEA and airlines cargo way to play Asia turning its economy. And China has predominantly been locked down. They use robots to move and load up the ships when they ship things across to America, and -- but their country is basically locked down and the country is going to unlock. And when that unlocks, we're going to see a complete different paradigm shift in the ability for these cargo companies to make a lot of money. 
 So we're very excited about launching SEA ETF. And so it's laser-focused. We are laser-focused on capturing new assets. As I said earlier, it's important to get the $40 million because basically, it starts covering its out-of-pocket direct expenses, but then we still have more money to spend internally on marketing and branding. And we've got the cash and the capital set aside to be able to make this particular product grow. 
 HIVE is still an important investment for U.S. Global. As I mentioned before, it's our proxy. We do not -- there is no ETF that allows you to buy Bitcoin directly. This was our proxy in that industry. We're the first to come out and make that investment. I went on as a Chairman before becoming Executive Chair during the crypto winter helped turn the company around. The company has grown. I've hired a President and Chief Operating Officer, and we've been able to participate and make series acquisitions during COVID in Canada and grow the business. 
 We have some of the highest gross margins in the world, when it comes to this business. We've been able to expand. And so the record revenue for this past fourth quarter is just -- is wonderful as a company, if you just look at its financials and its ability. 
 HIVE provided its January production update. It produced 264 Bitcoin. It's been expanding its capacity to produce more Bitcoin. And if you look at the equivalent that is converting its Ethereum production to Bitcoin, then the equipment is over 2,100 equivalent coins. So we're talking about a very substantial company that's doing in today's pricing, it's easy to figure out it's about $600,000 a day revenue based on what Bitcoin and Ethereum is today. 
 And so with that, this is a company with 20 employees, and I think that it's basically now able to grow in a very orderly fashion, but it's very competitive on the marketplace. And I now want to be able to take my time going forward is to also be able to focus on the creation and the growth of SEA and the branding of SEA like we've done with JETS. Like I said to you before, it requires millions of dollars of capital, a commitment of 4 to 5 years to build a brand awareness and uniqueness that SEA offers. You could not buy a lot of those assets, those shares that are in Taiwan and also in South Korea for an inexpensive ratio. So I remain very bullish on where we are in a position. 
 And now I want to turn it over to Lisa Callicotte, who's done a phenomenal job as CFO of navigating through this past year. 
Lisa Callicotte: Thank you, Frank. And I would like to thank our shareholders. I really appreciate the patience that you all have had. Like Frank said, it has been challenging during this time, where we've been trying to catch up on our filings. We have a small team, but they worked diligently, and we are committed to getting information out to our shareholders as soon as possible. But still required, and we still would either way, do all the diligence that we need to ensure that we're getting accurate information out. So thank you for your patience. 
 We can go to the next slide, where we show that we did have another strong quarter. These are just some financial highlights. Average assets under management was $4.1 billion for December 31, 2021, up 40% from the same quarter a year ago. Operating revenues increased approximately 39% compared to the same quarter last year, and our quarterly net income was $3.6 million. And this was an increase of 50% over the September quarter. 
 Now I'll review our financials in more detail. Beginning on Slide 29, we recorded total operating revenues of $6.6 million for the quarter, which is an increase of $1.9 million or 39% from the $4.7 million in same quarter last year. The increase is primarily due to increases in assets under management, especially in our JETS ETF. Operating expenses for the quarter was $3.6 million, a decrease of $1 million or 22%, primarily for the following reasons: employee compensation and benefits decreased $1.5 million or 47%, mainly due to decreases in bonuses due to higher realized gains on the sale of HIVE in the prior year, and that was somewhat offset by an increase in the amortization of employee stock options. 
 The company did issue stock options in June 2021, and the cost of those options was amortized over 6 months for the vesting period. And that was completed at the -- in December of 2021. General and administrative expenses increased 474% -- excuse me, $474,000 or 37%, primarily due to higher consulting and professional fees and higher director fees, again, mainly due to amortization of stock options. 
 On Slide 30, we see our operating income for the quarter ending December 31, 2021, is $2.9 million. And our other income decreased $20 million compared to prior year. But again, that's mainly related to the HIVE transaction and the realized $15 million of gains related to that and higher unrealized gains in the prior quarter. In the current quarter, we did have approximately $962 million in realized and unrealized gains on investments. Net income after taxes for the quarter was $3.6 million or 24% -- $0.24 per share. 
 Moving on to Slide 31. We see we still have a strong balance sheet and includes a high level of cash and securities. 
 On Page 32, we see we still have no long-term debt. The company has a net working capital of $29.9 million, which was an increase of $8.2 million or 38% since June 30, 2021, and a current ratio of 9.7:1.  
 Now that I've discussed that. I would like to summarize our capital strategy. As noted on Slide 34, we want to ensure that we have resources to work on and launch products. Frank had talked about this a little bit earlier that in our experience, it takes hundreds if not thousands of hours to design smart beta products. And even once that's done, it takes time for that product to grow and become profitable. And we want to ensure that we're in a good place to be able to take that time and create those products and manage them so they are profitable. 
 Likewise, we want to ensure that we have the capital to take advantage of any future growth opportunities. We are open to opportunities and know that they can be short-lived, and we want to be prepared if and when they come our way to be able to take advantage of those. We are also keenly aware of market fluctuations and have weathered through market corrections in the past. Frank discussed this also. If there is a winter or for some reason, the asset classes we are in end up being in a bear market, we know that, that's going to turn around, but we need to be able to have the resources to get through those times. 
 We plan to continue our strategic buyback program using an algorithm on down days. And at this time, we feel that it's prudent to strategically buy back stock kind of on a formula rather than do like a tender offer for shares. Now these are long-term strategies, and are discussed and reviewed with the Board regularly, and they may change as circumstances change. This is kind of the outlook that we have at this time. 
 Now I'd like to turn it over to Holly to discuss more of our marketing and distribution. 
Holly Schoenfeldt: Thank you, Lisa. As you can see on Slide 37, a majority of our mutual fund assets are in emerging markets and natural resources with 29% in domestic equities and fixed income. And as for distribution, more than 3/4 of assets come from retail investors with 17% coming from institutional investors. And again, this is just looking at our mutual funds. 
 On this slide, Frank mentioned already that we successfully launched our SEA ETF on January 20th, which we are very excited about. I would like to invite all of our GROW shareholders to an upcoming webcast that we will be hosting in conjunction with ETF trends about the shipping and cargo industry with a discussion around the SEA ETF. So this will be happening March 9th at 1:00 p.m. Central Time, and you can sign up by visiting etftrends.com or you can choose an e-mail at info@usfunds.com and I can get you the registration link.
 On the next slide, we are very excited to see business travel resuming and with that means more in-person conferences and events. In fact, Frank is already set to speak at a handful of events throughout 2022. The next one coming up is ETF Exchange, which will be happening in Miami Beach, Florida, and we will be promoting our participation in all of these events. So if you are able to attend any, we welcome you to join. 
 Moving on. I do have some exciting news to share, which perhaps you have already seen a share on social media if you follow us that way. Huron University officially announced this week the naming of its new academic building, the Frank Holmes Center for Leadership, Ethics and Entrepreneurship. The building is specifically designed to support the university's mission of fostering a close-knit community and cultivating passionate and civic-minded leaders. So we're very excited to see that. 
 On the next slide, don't forget our educational content does not only come in the form of Frank Talk blogs or the Investor Alert newsletter. We love educating our shareholders through video content as well. So be sure to check out our YouTube page and become a subscriber, if you aren't already one. 
 Lastly, don't forget, we do share a majority of our content, including those videos as well as announcements about our upcoming events across all of our social media platforms. So be sure to check those out when you get a chance. 
 And on this final slide, as we do wrap up today's presentation, I want to invite anyone listening to submit questions to me by emailing info@usfunds.com. 
 I also want to hand it back briefly over to Frank Holmes for any closing comments today. Frank? Any closing comments? 
Frank Holmes: Thank you, Holly, and thank you, everyone, for understanding our past year. And we're focused most importantly is growing our operating revenue and cash flow and investments in companies we invest in. We are very focused on the cash flow return on invested capital model for our different funds and just a matter of smart beta and the discipline of running U.S. Global. So thank you all. 
Holly Schoenfeldt: Thanks, Frank, and thank you, everyone, for your participation today. This concludes today's webcast.